Operator: Good day and welcome to today’s Colgate-Palmolive company fourth quarter year-end 2009 earnings conference call. Today’s call is being recorded and is being simulcast live at www.colgate.com. Just as a reminder, there maybe a slight delay before the question-and-answer session begins, due to the web simulcast. At this time, for opening remarks, I would like to turn the call over to the Vice President of Investor Relations, Ms. Bina Thompson. Please go ahead, ma’am.
Bina Thompson: Thank you, Bernice, and good morning everybody and welcome to our fourth quarter earnings release conference call. With me this morning are Ian Cook, Chairman, President, and CEO; Steve Patrick, CFO; Dennis Hickey, Corporate Controller; and, Elaine Paik, who has been elected Treasurer, effective February 1. This conference call will include forward-looking statements. And these statements are made on the basis of our views and assumptions as of this time, and are not guarantees of future performance. Actual events or results may differ materially from these statements. For information about certain factors that could cause such differences, investors should consult our annual report on Form 10-K filed with the Securities and Exchange Commission and available on our website, including the information set forth under the captions, “Risk Factors and Cautionary Statements on Forward-Looking Statements. We will discuss our results excluding charges relating to the 2004 restructuring program, which was completed in 2008. And a full reconciliation with the corresponding GAAP measures is included in the press release and is posted on the Investor Relations page of our website at www.colgate.com. And of course we'll be glad to answer any questions you may have including or excluding these items, as you wish. We are delighted with our fourth quarter results, an excellent finish to a year which had seen momentum building through the previous three quarters. Our financial strategy with which you are all familiar continues to be effective. We were particularly pleased with our volume growth of 3% and our gross margin increase of 320 basis points. As we told you at the beginning of the year, we approached 2009 cautiously as there were so many uncertainties from a global macroeconomic perspective. We said that the balance between volume and price would shift as the year unfolded and that indeed has been the case. In addition we said that the rate of increase in our advertising spending would improve each quarter and that has happened as well. Our fourth quarter increase of 18% was a healthy one, particularly as we continued to benefit from reduced media costs in many parts of the world. Our tax rate in the quarter of 32.6 % was somewhat higher than our previous guidance due to an increase in remittances from our overseas subsidiaries. Despite that our EPS increased to 21%, well ahead of consensus. In addition to a healthy income statement our balance sheet is very strong as well. Our operating cash flow was excellent, up 42%, which should enable us to fund increased dividends and stock repurchases. Both receivables and inventory days outstanding have declined resulting in our working capital being at a minus 0.4% of sales, the first time we have seen such a low working capital on a worldwide basis and our return on capital also reached a record 39.1%. As we look out into this year there are signs that the macroeconomic situation is improving around the world. Happily, we have a robust pipeline of new products which should help continue our volume and share growth momentum. And in the developing markets such as Latin America and Asia, our strategy of offering good value at every price point should help continue to fuel growth there. I would just like to spend a moment on Venezuela. As you know, the Venezuelan currency devalued early this year. Colgate people, who have extensive experience in managing in high inflation economies, minimized the impact and we have confidence in our ability to manage it effectively going forward. While difficult to estimate precisely, we currently anticipate, the impact of the Venezuelan devaluation will be at a net reduction in 2010 earnings per share of $0.06 to $0.10. This includes a negative $0.16 to $0.24 from translation, a positive $0.05 to $0.08 from lower taxes on accrued but unpaid remittances and a positive $0.03 to $0.05 from revaluation of the local balance sheet. The company continues to believe our strong top and bottom line momentum should continue which bodes well for another year of double-digit earnings per share growth in 2010. Now, before I turn to the divisions for a more in-depth look at our results I also wanted to share with you another step in our management development process which realigns responsibilities among several senior managers effective as of February 1. As has always been the case in the past, our goal is to ensure that Colgate’s talented senior management team can bring their deep knowledge and experience to all aspects of Colgate’s global operations and key business functions. New oversight responsibilities are: Michael Tangney: Hill’s Pet Nutrition and Colgate’s South Pacific businesses, and strategic direction of our important Global Shopper Marketing initiative. Fabian Garcia: European division and strategic leadership for Colgate’s commercial groups: Global Marketing, Customer Development, Supply Chain and Technology. Franck Moison: Emerging markets, Greater Asia, Latin America and Africa/MiddleEast divisions. In addition Derrick Samuel will assume operating responsibility for Colgate’s businesses in Greater Asia. Justin Skala will assume operating responsibility for the Latin American division. Noel Wallace will continue to lead Colgate’s US business and will assume operating responsibility for Colgate’s businesses in Canada and the Caribbean. Noel will also provide business leadership for our Global Sustainability strategy. So now let’s turn to the divisions starting with North America. We are very pleased with the 5.5% volume growth in North America. This is the highest level of growth in 11 quarters and is accompanied by good share performance. Operating profit was strong as well, as it has been through 2009, as the US was the first to benefit from some of the decline in raw material prices after enduring record highs in 2008. Our market shares are strong and a number of the new products which we told you about previously continue to help drive the business. Our Colgate 360° Actiflex toothbrush has added market share to the 360° franchise which is up almost a full point quarter-over-quarter. The consumer response to Colgate Wisp continued to be overwhelmingly positive in the 4th quarter. Our full year share is at 5% but jumped to 6.8% in the month of December. Turning to personal care, our bodywash share is up a full point year-over-year largely owing to the reinvention this year of the Softsoap Bodywash bundle along with the introduction of Softsoap Nutri Serums. Softsoap now is the fastest growing body wash in the United States. As in 2009, our new product pipeline for 2010 is full. Let me share a few new product highlights with you. In the oral care category we are launching My First Colgate Infant & Toddler Toothpaste, a new line of toothpaste with a non-foaming fluoride-free formula that is safe if swallowed. It has a “no mess” dispenser and can be used along with the companion My First Colgate toothbrush. For the slightly older child we will be launching a Bakugan line of toothpaste and toothbrushes, both manual and powered. According to the Toy Industry Association, Bakugan is the number 1 overall toy in the US, with viewership of almost 3 million boys ages 6 to 11 on the Cartoon Network. Another exciting toothpaste initiative is targeted at the adult Hispanic market, Colgate Triple Action. As you know, our shares here in the US are higher in the Hispanic market, at over 50%, as a result of our very high share for Colgate toothpaste across Latin America and specifically Mexico. Colgate Triple Action offers cavity protection, whiter teeth and fresh breath at an attractive price point. In Latin America, Triple Action has a 15 share across the region and a 26 share in Mexico, up 4 points from the prior period. In the body wash category, building on our successful new product launches in 2009, we will be launching Softsoap Body Butter Mega Moisture Bodywash. This provides the benefit of long-lasting moisturization with moisture-locking ingredients in a rich, thick formula. And in deodorants we are launching an innovative new product, Mennen Speedstick and Lady Speedstick Stainguard. This patent-pending formula is designed to fight yellow stains on shirts, while providing strong odor and wetness protection. As you would expect, we will be launching a comprehensive integrated marketing campaign including sampling and a co-promotion with Hanes t-shirts. You will hear about some other exciting innovations as we go through the year. So, looking forward, we expect volume in North America to increase low to mid-single digit for the first quarter and full year. Operating profit should be up double digit in the first quarter and high single digit for the full year, up absolutely and as a percent to sales for both periods. Turning then to Europe and South Pacific. We were pleased with another quarter of volume growth in Europe following the third quarter volume increase. For the first time in six quarters we saw a GDP growth in the Euro zone, an encouraging sign. And of particular note was good volume growth in three of our four largest markets, France, UK and Italy, with the fourth, Germany, being essentially even with the year ago period. As referenced in the press release, we launched a number of new products across categories in Europe. One of the most significant ones is Colgate Sensitive Pro Relief toothpaste which has met with very good success both with the dentists and our consumers. Launched in late September in the UK, Colgate Sensitive Pro Relief toothpaste has almost a 3% share in that market and has helped to drive our overall UK Colgate share to almost 50%. New product launches are continuing into 2010. In the personal care area we are very excited about our new bodywash line, Palmolive Nutra Fruit. This is our first offering in the premium segment. The product combines exclusive pleasurable fragrances and moisturizing skin care formulas. The unique concept of a swirly shower cream has tested well with consumers and initial orders are significantly above forecast. An exciting new product in home care is Ajax Bucket Dilutable Cleaner in packaging which is more respectful of the environment. Made of PET technology as opposed to PE technology the product will have a more modern look and feel with a new bottle designed by ergonomic experts. It's lighter than current PE bottles using 60% of recycled PET and is still 100% recyclable. So looking ahead, volume in Europe is expected to increase low to mid- single digit for the first quarter and full year and operating profit is expected to be up double-digit for the first quarter and full year, up absolutely and as a percent of sales for both periods. In Latin America, the good momentum we have been experiencing in this division throughout 2009 continued in the fourth quarter with excellent volume and record sales and profits. And as referenced in the press release, our toothpaste market shares continue to grow. Interestingly, even in the face of somewhat more challenging economic times, shares of Colgate Total, our premium priced toothpaste, increased almost 2.5 points across the region with gains of 3.5 and 4.5 points in Brazil and Venezuela, respectively. In Mexico, our share is up year over year to 85.6% despite some increased promotional activity on the part of competition. And similarly, in toothbrushes, we have gained market share despite aggressive competitive activity. Our regional market share is now 7 points ahead of the nearest competitor having been at parity in 2006. Another good success for us has been mouthwash, where we have nearly doubled our share in three years. Our regional share is at 27.6, up 280 basis points from the year ago period, with our most recent share reading at 28.7. Enhanced in-store activity as well as increased media has helped drive our share. In Brazil, where we are competing head-to-head for market leadership, we are in the number one position on a year-to-date basis. Two strong new product launches, Colgate Plax Complete Care and Colgate Plax Sensitive, have contributed to this success. Our market shares increased in bar soaps as well where we now hold the number one and two brand positions, Protex followed by Palmolive. Protex surpassed Palmolive as a result not only as successful new product introductions but also the implementation of a hand washing campaign, made particularly relevant by the recent concerns over H1N1 and overall good hygiene. So Looking ahead, volume in Latin America is expected to grow mid-single digit for the first quarter and full year. Operating profit is expected to be even with last year’s high level for the first quarter and up mid-single digit for the full year, up absolutely and as a percent to sales. Turning then to Greater Asia/Africa. As you have seen, Greater Asia/Africa experienced a very healthy volume rebound in the fourth quarter with strength across the region. Our toothpaste share in China was up 70 basis points on a year-to-date basis. We marked a milestone in the Philippines where our toothpaste share reached an all-time high of 55% in the most recent period with our year-to-date share up 240 basis points to 53.5%. In Russia our toothpaste share grew 60 basis points to 33%. You may remember we launched GABA’s brand Elmex in Russia and that is going very well. Our scientific affairs managers have now visited all target universities and key opinion leaders. And as a result we grew our brand recommendations in Russia from 15% to 24% and are now the number one company recommended most often with the combined Colgate and Elmex brands. Our market shares for Elmex are growing in both toothpaste and toothbrushes and we have some strong plans with pharmacies across the country to further grow the business in 2010. Another important launch for us was Colgate Sensitive Pro-Relief toothpaste which we launched in Singapore in September. And since we told you about it, our results have continued to improve. Selling now in Singapore, Hong Kong, Taiwan and Turkey, share gains have been incremental to our overall share in all those markets. Our toothbrush shares were up in India and Russia with Russia achieving over 50% in the most recent period. Mouthwash has been another success story. Our year-to-date share is at 12% with the most recent reading at 14.5%. Two exciting new markets for us are China and Russia where we have launched in key cities and the modern trade and have achieved over 30% share in both cases. So looking ahead, volume in Greater Asia/Africa is expected to grow high single digit for the first quarter and full-year with operating profit growing double digit for the first quarter and full year, up absolutely and as a percent to sales. And finally Hill's. As you know, this is our one business which has been disproportionately affected by the recessionary economies here in the U.S. and in Europe and Japan. While consumers and veterinarians alike have always recognized the value of Hill’s premium priced pet foods which offer documented superior nutrition, a series of price increases which we took beginning in 2008 and through early in 2009 to offset very sudden increases in commodity costs resulted in the price gap between Hill’s and our competition just being too wide. Starting in September 2009, we began to take actions to correct this. Starting with the puppy/kitten segment, a key entry point into the pet food category, we implemented a permanent price reduction. In addition, in the fourth quarter, we offered a bonus bag promotion coupled with messaging on nutritional superiority. Starting this year, we have taken pricing actions globally, with instore and media communication focused on “Feed the Best for Less/New Lower Price/Same Superior Nutrition.” While it is still early, we have seen evidence in some of our large format retailers that consumption is increasing. And importantly, our veterinary endorsement remains high and the gap between us and our nearest competitor is as wide as it has always been. We are also very encouraged by two new products which will be launching this year. The first is a dry wellness food for small and toy breed dogs under the Science Diet brand. Science Diet already over indexes against these dogs who have longer life expectancies than other breeds and eat more treats and wet food than the average dog. Small and toy breed dogs account for 40% of all dogs and are the fastest growing category, offering a good opportunity for Hill’s. A second new product in the U.S. and Canada is in the Prescription Diet line, j/d Feline. This is the first therapeutic pet food clinically proven to help cats be more active in 28 days. j/d Feline addresses the high incidence of arthritis in older cats. Because there are no long term FDA approved medications for the treatment of feline arthritis, j/d Feline is an excellent tool veterinarians can trust to help their feline patients maintain joint cartilage and improve their mobility. So looking ahead, Hill’s volume is expected to decline modestly in the first quarter but should be up modestly for the full year. Operating profit is expected to grow low single digit for the first quarter and should be up high single digit for the full year, up absolutely and as a percent to sales. So to summarize, we are extremely pleased with the way that we finished the year 2009. Colgate people around the world are all focused on our strategies and priorities thereby delivering consistent strong results even in the face of worldwide macroeconomic challenges. We expect this momentum to continue into 2010 and look forward to sharing our progress with you as we go throughout the year. And now Bernice, I'm finished with my commentary. I would like to open it up for questions.
Operator: Thank you. Today's question and answer session will be conducted electronically for the telephone audience. (Operator Instructions). We'll pause briefly to compile the Q and A roster. The first question from the line of Joe Altobello with Oppenheimer and Company.
Joe Altobello - Oppenheimer and Company: Thanks, good morning, actually just two quick ones. First If you could just go into the issues at health, at health a little bit better more and obviously we are looking for a little bit better volumes there. We're testing a little bit on the prepared remarks but I was hoping for a little color there. And then secondly as you look into 2010, the gross margin side, you guys have typically put an evergreen target of up 75 to 125 bps and it sounds like you're sort of backing that as well. Although you start to lose some of the impacts of pricing and I would imagine that commodity costs become a bit of a head wind next year, so if you could comment on that as well. Thanks.
Ian Cook: Joe, good morning, it's Ian. Let me start with Hill's and try to put little bit more color, as you say, on the remarks that Bina already made. Clearly, we have understood the need to make pricing and as we've said before, some sizing adjustments to reestablish Hill's competitiveness with other premium pet nutrition brands, and we began that process in the second half of last year. Principally in the fourth quarter with light pricing here in the United States on key SKUs, and some right- sizing on the most important market entry SKUs in the puppy and kitten areas. Those programs continue into 2010. We now have effective the right pricing across all of the line here in the United States, and we'll have the right sizing in place across the SKUs to be right sized by the beginning of the second quarter and that is what will also in Europe. As Bina said, our recommendation level has been strong. When we see the right sizing and right pricing at shelf, we have seen a response in terms of consumption up take in our leading retail accounts. And what we are seeing at the beginning of this year is an acceleration of the pace of consumption of take after the pricing action has hit the shelf. So we're confident that we have the right strategy being deployed and encouraged by the initial response. We do, as shipments, take time to catch up to consumption expect to see a modest volume decline in the first quarter as Bina said, but that will turn as the year progresses and then that is a modest positive. If I move from Hill's to gross margin, you will remember, Joe, that we said this was a very important part of our strategy for 2009, and as you have seen now with our most recent quarter results, we have brought the gross margin back to 59. 5%. You're right, we tend to focus on evergreen goals in the context of our strategic planning and the way I would categorize 2010 is that we see our gross margin around the 60% level for 2010 and our [goaling] a mid- 60s gross margin over our next strategic planning period of 5 years to 6 years. So that's the way we're look at gross margin, Joe.
Joe Altobello - Oppenheimer and Company: Next year or 2010 is primarily coming from the top line, not necessarily the further gross margin expansion on the order of 200 pays points?
Ian Cook: I was focusing on gross margin. What I was saying, Joe, is that the gross margin increase, we expect to be around that 60% area coming from some rollover benefit of pricing and obviously our funding the growth Colgate business planning and other efficiency and savings programs.
Operator: The next question comes from Bill Schmitz with Deutsche Bank.
Bill Schmitz - Deutsche Bank: Can you tell us what the advertising and promotion ratio was for the full year, as a percentage of sales and then any guidance on what you think it could be for next year?
Ian Cook: The (inaudible) ratio for this year 2009 was around 10%. And our projection for 2010 sees us increasing both in the absolute and as a percentage to sales.
Bill Schmitz - Deutsche Bank: Okay, great, and this might be a totally stupid question, but when you talk about double-digit growth next year, does that exclude or include the gain on Venezuela, so the first quarter gain that you're going to book from the taxes and then balance sheet changes?
Ian Cook: Yeah, Bina maybe you came on the call late Bill. Bina made some comment of that in her prepared remarks. Let me take a step back and put the answer in perhaps a broader historical and strategic context. You know that we have had over the year's considerable experience in Latin America in dealing with devaluations in a high inflationary environments. Our approach to dealing with it has always been on a net basis, and the way we worked with our folk in Venezuela and the Latin American division was to prepare the Venezuelan company to deal with the devaluation both from a balance sheet point of view and an operational point of view as cleanly as possible and that you see reflected in the net position that we are taking. While I say that, Bill, let me offer another couple of data points. Bina talked about the tax and the balance sheet pickup in the first quarter. I would point out that from a tax point of view, that will see our tax rate in the first quarter from an overall corporate point of view running at about 24% to 25% and the full year impact of that will be to see our tax rate running at between 30. 5% and 31. 5% because of the timing of the events.
Operator: We'll be next to Ollie Debash with Bernstein.
Ali Dibadj - Bernstein : Just to follow that train of thought a little bit, and then a follow-up to it, if one were to just exclude Venezuela completely, do you still think it is double digit growth? I'm trying to get an understanding of how to think of Venezuela going forward in your guidance.
Ian Cook: Your question Ali is if we were to exclude Venezuela completely?
Ali Dibadj - Bernstein : Yes, the positive and negatives. Is it double digit EPS growth as you would have expected?
Ian Cook: Yes.
Ali Dibadj - Bernstein : Okay. And what about FX? Non-Venezuela FX?
Ian Cook: The FX for the year.
Ali Dibadj - Bernstein : Going forward, yes.
Ian Cook: I'm going to get it for you. What's baked into our planning for 2010 is an FX overall of flat to slightly negative, and positively in the first quarter.
Ali Dibadj - Bernstein: So still double digits how we should think about it, excluding the benefit from Venezuela and the hit there in FX. The next part of my question just been trying to understand a little bit more about the competitive environment. We have the Latin America, we've got a volume number, we didn't get an organic sales number, So I'm trying to understand that in the light of just hearing a few moments ago from one of your competitors that share in Brazil pharmacy is 20%, growing tremendously in many their new entrants, growing similarly in the Benelux with the launch there in China as well. So I'm just trying to understand competitive environment and this mix between pricing and volume going forward. First up the Latin America, but then beyond if you could please.
Ian Cook: Let me start with Latin America. And you raised organic, so let me answer the question using that as a measuring point. The organic growth that we experienced in Latin America was in the mid- teens in Latin America for the fourth quarter. We expect that our organic growth in Latin America going forward will likewise be in the mid- teens, and of course, there is a little bit of effect from pricing given the pricing action consistent with the devaluation that will be taken in Venezuela, but we expect our volumes to be in the same mid-single digit area it was in the fourth quarter. Now, if I take a step back still on Latin America, and talk about competitive activity, you mentioned the pharmacy share in Brazil, I would comment that if we look at Brazil, our overall market share for the year, nationally, was running at around 70%. In fact in December, it was up to over 71% when we look at our share in pharmacy, it's essentially flat year-on-year, and the independent Nielsen data I'm looking at says that the competitive share which is the Oral- B toothpaste brand is running at a 5% market share in pharmacy nationally, with pharmacy nationally in Brazil as we have said before at about 12% to 13% of the total category. Interestingly, I would comment that pharmacy in Brazil accounts for 50% of the consumer purchases of toothpastes that fight sensitivity and we have just introduced our Colgate Sensitive Pro Relief toothpaste which provides instant and long- lasting relief superior to what is currently available in the marketplace and, of course, we have pretty high expectations for that. So for us, nothing material has changed with the share profile in Brazil. What we see in Benelux is a light, mid-single digit share from Oral- B in toothpaste and a Colgate share that is essentially flat year on year. Benelux with no disrespect, there is obviously a slightly smaller geography than Brazil, but that's the status there, and as for China, our market share on toothpaste as has been commented is actually up to nearly 32% and our lead market national competitor is down in market share in that country, so as we have said before on these kind of calls, whilst we take nothing casually, we believe we have appropriate plans to meets in market events whether it be Brazil, Benelux or China.
Ali Dibadj - Bernstein: Thank you very much for going around the horn. One thing you said just maybe to cap up, Latin America specific price versus volume, particularly in the context of in the prepared remarks, operating profit being flat with last year, just some more clarity there would be great, please, thank you again.
Ian Cook: Venezuela is the answer to your second point. But in terms of Latin America overall, as I say, we've got volume running about mid- single digits for next year, and is the [SBI] running at about mid to high single digits.
Operator: We'll go next to Lauren Lieberman with Barclays Capital.
Lauren Lieberman - Barclays Capital: My question is actually about the sustainability of pricing broadly speaking in emerging markets. This one thing I've been thinking about is the historically, when Colgate has raised prices in response to changes in currency fluctuations in emerging markets with your strong market shares, the pricing sticks long after currencies change course, and what that means for long- term profitability in those markets. Can you just talk a little bit about that?
Ian Cook: Our philosophy on pricing comes from two perspectives. One is the economic reality of offsetting transaction impacts for Forex or commodity costs, market-by-market. And the seconds is managing your pricing to a stated pricing strategy against key reference brands, and that is the balance that you are always seeking to manage, as we look at the way we have structured our 2010 operating plan, we don't foresee new pricing in emerging markets in 2010. In other words, we are simply maintaining the rollover benefit of actions taken in 2009 with the exception of the pricing that will be taken in Venezuela to offset the transaction impact of the devaluation there from an operating point of view. So that's our general approach to 2010, Lauren.
Lauren Lieberman - Barclays Capital: The estimate that you have given, the $0.16 to $0.24, does that include the benefit from any pricing you may still take in Venezuela, or is that not yet in part of that guidance?
Ian Cook: It is all in that, Lauren, so it includes the actions that we plan to take.
Operator: We'll go next to Jason Gere with RBC Capital Markets.
Jason Gere - RBC Capital Markets: Can you just talk about the pricing environment in the US, and two quarters in a row, we’ve seen some negative pricing. I know last quarter; you were talking about building some trial. Is that still the case? Is it just trade spendings increasing, and just on that point, what's your outlook for 2010 on that note?
Ian Cook: The headline would be that it is a combination in North America of a couple of things. It is a continuation of trial building behind new products, and there is a component back to my comment about offsetting costs and maintaining pricing strategy. There is a component in the fourth quarter of some localized response to competitive promotional activity. On balance, the way we look at 2010 is that pricing will be basically flat year-on-year. Jason, even with that approach in the US, the US is very much leading in terms of its recovery of gross margin in the fourth quarter, so the income statement structure worked out quite well.
Jason Gere - RBC Capital Markets: Just in your response to an earlier question on the A&P spending. In this quarter we did see a 50 basis point increase. Is that generally the range that we should anticipate for next year or something greater just with the pipeline of innovation?
Ian Cook: I would say without getting pinned to a specific point in time number, that that would be a fair assumption. It's going to be up in the absolute, it's going to be up as a ratio, and that ratio will certainly be 50 basis points up year-on-year if not slightly better than that.
Jason Gere - RBC Capital Markets: Could you breakdown the gross margin components as you usually do every quarter?
Ian Cook: So if we compare the fourth quarter of this year with the fourth quarter of prior year, prior year fourth quarter gross margin was 56.3. The pricing in this fourth quarter, 2009, added 1.4 points, a 140 basis points. Obviously nothing from the restructuring. Our funding the growth savings delivered a healthy 2.2 points, 220 basis points, the same as the third quarter. Material prices were again less negative minus 50 basis points in the fourth quarter and then there was a 0.1 mix divestment et cetera change leading you to the 59.5 or the 320 basis points increase.
Operator: We'll go next to Chris Ferrara with Bank of America.
Chris Ferrara - Bank of America: Can we talk about the material side on what you just said the negative 50 basis points, I know that includes currency, but can you talk about just currency. What's the currency impact ex-Venezuela to gross margin right now? And how will that flow? Will it get positive in early 2010 and then swing back to negative again by the end of 2010 based on where spot rates are right now?
Ian Cook: I don't have that level of detail in front of me, Chris, and I'm not sure I'd want to go there anyway. I guess the way we're looking at the year going forward by which I mean 2010, we're running oil baked into cost assumptions of around $75 a barrel. We obviously have that funding the gross savings on the margin line. We think material costs, which is a combination of everything, is estimated to increase between 1% and 2% overall year-on-year, and that with a combination of all we feel quite comfortable with that around 60% gross margin estimate for the year.
Chris Ferrara - Bank of America: Can you talk a little bit about mix because you guys, big mix into volume which some of your competitors break it up? Can you give a sense for how mix has gone? How has trade up trended across the oral care portfolio? If you had view on the overall company that's great, but if not, just say the US and Latin America specifically, are you seeing trade up to Colgate Total and other premium products accelerate, decelerate or neither?
Ian Cook: We don't break that out, Chris; we give a dollar-weighted volume. Let me give you one example from Latin America which might capture, my general response would be as we deliver and convince the consumer we're delivering increased value, they are prepared to pay a higher price. We see that in the early days of Pro-Relief, and the example I was going to give you is Total in Brazil which has continued to increase market share finishing the year at around $0.19 a share, notwithstanding the environment we've been working our way through. So I think if one offers the consumer value, and convinces the consumer as to that value, and in the case of total professional recommendation helps, the consumer continues to move what they see as a better value even if it carries a higher price.
Operator: We will go next to John Faucher with JPMorgan.
John Faucher - JPMorgan: A follow up on Chris's question, is it safe to say that we are just simply not going to see raw materials end up as a benefit to gross margin. If I look at raw materials moving up next year, so we are not going to get that big windfall it seems like and then the second question totally unrelated. You've talked a lot about the competitive activity in oral care what are you seeing in terms of competitive activity on the household side? Is that heating up dramatically around the globe?
Ian Cook: Yes, if I talk about material prices, as I said earlier, John, we're seeing at least thus far our estimate is that our material costs will be up year-on-year between a point and two points which will be a negative pressure on the gross margins. So our gross margin improvement in 2010, this year, will be funding the growth savings programs and the rollover benefits we get on pricing. Remember, on the material side also, we're facing the transaction impact of Venezuela in 2010 as well. So no big favorables just in terms of base commodity pricing. If I move to the categories, we have seen less competitive activity in the personal care categories and we have seen more observable competitive activity in what you may call the higher volume household care businesses which would be heavy duty detergents, which we really aren't a player in, but based on the data we see, we have seen some step up in promotional activity there. If you focus on our HDD businesses, which largely around the world are cleaners and fabric softeners. In fact, our fourth quarter volume movement in those categories is higher than the year to-date average. So we have picked up acceleration in our HP household products categories and when I look at the gross margins have materially increased, gross margins across the board. So yes, some step-up in promotional activity in volume-related categories. A clear focus on HDDs, less that is impeding us on dish and fabric softener so far.
Operator: We'll go next to Alice Longley with Buckingham Research.
Alice Longley - Buckingham Research: A question in line with some that have been asked earlier, if I look at the layout of the year, the first quarter looks like it’s up a lot because currency is most favorable and then you get the gain in Venezuela, do you think EPS can be up double digits for the quarters after the first quarter?
Ian Cook: The EPS will be up for the year, double digit and as you rightly say, Alice, the first quarter will be higher than that because of the effects previously discussed. Double digit for the year is what we're guiding.
Alice Longley - Buckingham Research: But is it likely to be single digit on the later three quarters?
Ian Cook: Probably so, but marginally.
Alice Longley - Buckingham Research: Okay, high single digits then? And then when you go out to 2011 and as Venezuela is no longer hurting you as I guess it will be in the later three quarters, but you’ve got that big gain, do you think you have EPS up double digits in 2011 given that comp against the gain?
Ian Cook: We'll talk about that later in the year, Alice. We're focused right now on executing our plan in Venezuela and getting as much on the ground clarity as we can, but you know well that our start point thinking is to deliver that double-digit EPS which will be our start point thinking for 2011, but let's come back to that as the year unfolds.
Alice Longley - Buckingham Research: All right and then you've given us some guidance for volume for the different sectors. Can you give us some summary comment on what you see volume for the year putting all the sectors together and also pricing, so we can see why you are looking for organic growth company wide?
Ian Cook: Let's talk about that very specifically. If you take the total company, Alice, we're looking at mid single digit volume. That's for the corporation worldwide and from a pricing point of view, we're looking at 2.5% to 3.5% on pricing and then that gets you to the organic of between 6% and 8%.
Operator: We'll go next to Connie Maneaty with BMO Capital Markets.
Connie Maneaty - BMO Capital Markets: I have some questions on Venezuela. A lot of companies that have reported or commented so far have said they are going to use the parallel rate because they haven't seen any evidence that business can actually be conducted at the 4.3 rate, and I think that's the rate that you're using. Are you actually conducting business at that rate?
Ian Cook: No. Interestingly, we just today, we're back up. You know they devalued to a 4.30 and then a preferential of 2.60 and the parallel hovers around 6, depending on the day of the week. We found interestingly as the details of the various rates came out, that most of our products were on the preferential rate, and we just learned this morning that we had some funds released at the preferential rate for us, in other words, the 2.6. From a translation point of view, we will be translating at the official rate of 4.30 and as an operating matter, if the early indications that we will indeed get funds at the preferential rate for our products is sustained, that would simply mean we would take less pricing in order to offset the transaction impact of that versus the 2.15, so that's where we are today.
Connie Maneaty - BMO Capital Markets: That's really interesting. In 2009, it seemed to me that the first time you reported out transaction expense price in Venezuela within the third quarter. At that point, it seems that there was an official rate of 2.15 and a parallel rate, were you conducting business back then at the parallel rate. First of all, were you conducting business back then at the parallel rate and were you hit with transaction costs in the first half that were just not reported out or do we start to get more transaction in the first half of 2010 than in 2009?
Ian Cook: Obviously, there's a pre-hyper and devaluation, and then there's a post. We were operating our business in 2009 which the devaluation and indeed the hyperinflationary designation had nothing to do with. So there was only one official rate which was the 2.15 rate and we operated our business primarily at the 2.15 rate and again, given our now 2.60 designation that may well be because our products were essential in that marketplace. We did have some non-qualified purchases at the parallel rate because there was no other rate between the official and the parallel and that's what we reported in the third and fourth quarters at similar levels in the back half of 2009. So now you come into 2010, and as I say, early indications are that from a transactional point of view, the materials should be at 2.60 from a translation point of view, there is clarity that the translation will be at 4.30, and that's how we are approaching 2010.
Connie Maneaty - BMO Capital Markets: So that means in the first half of 2010, the transactions are now recurring at 2.60 versus 2.15, but in the second half if your preferential rate holds, 2.60 compares to the [6]. Is that right?
Ian Cook: No, because a large part of the business we managed in the second half of 2009 were still at the 2.15. We simply had some non-qualified purchases at the parallel rate, which we called out in the third and fourth quarter.
Connie Maneaty - BMO Capital Markets: As Venezuela was doubling in size because of inflation over three years, what was the EPS contribution in 2007, 2008 and 2009?
Ian Cook: We don't pull that, what I would tell you Connie, going forward to the question somebody else asked that our estimates for growth in Latin America, even including the re-based Venezuela is a 5% volume growth and that 6% to 8% organic growth with the favorable exchange making the difference. So, we will continue to deliver at very healthy rates in Latin America.
Operator: We'll go next to Bill Chappell with Suntrust.
Bill Chappell - Suntrust: Just a quick one on the new product launches for this year. How does that compare in terms of numbers or impact versus 2009? Are there any particular ones you expect to move the needle? And then how will the rollout this year be pretty similar to what you saw last year in terms of timing?
Ian Cook: The answer is without sounding glib, the new product profile for this year is good. In fact, the contribution to same-year sales of new products last year were slightly higher than our historical average, pleasing. And we will have a similar if not slightly better profile for 2010. I think it's never wise to call out, the so-called needle moving events. We believe in a steady flow of good innovation that fits consumer's behavior at price points they see a value in and that’s what you can expect from us in 2010. If I were to call on one, it would be Sensitive Pro-Relief toothpaste. Why? Because it's a $1 billion global segment. Why? Because the product offers instant and long-lasting relief at levels superior to currently available in the market place, and if you have pain you want to get rid of it. Our initial in-market results have been quite positive. Low single digit share increases, incremental to our Sensitive offerings, and largely increment to our overall Colgate share give us encouragement, we release it's a journey, but it is a journey we are all committed to. So if I was to highlight one it would be that one because of its strategic value over the long-term. Beyond that, you can expect a good, steady stream of innovation across all of their categories and at all price points to make sure we service all consumers around the world.
Bill Chappell - Suntrust: I would assume the Sensitive product would be a big driver on the price mix side for 2010
Ian Cook: Depending on the share progress we make there's no question it is an accretive business.
Operator: We will go next to Alec Patterson with RCM.
Alec Patterson - RCM: Just, I guess I do want to try and understand the flow of the questions surrounding the materials impact and transactional impact a little better, and I guess you've referenced how raw materials have actually been a year-over-year benefit in recent quarters in the US, so and the economies were obviously it's dollar based, there has been a benefit, and the offset globally has been the currency impact. Is that a fair assessment of what's happened?
Ian Cook: In general terms, Alec, yes.
Alec Patterson - RCM: So I guess I'm trying to understand in the fourth quarter where currency was actually a benefit, I would have thought the underlying raw material trend in dollars would still be relatively beneficial what am I missing in that equation?
Ian Cook: If you track the year, and I'm sure you have it in front of you, when we talk the gross profit impact as a negative, you see material prices as a negative moving from negative 350 basis points in the first quarter of 2009 to negative 50 basis points in the fourth quarter of this year. Now, overall, while we're getting favorability, there is a little bit of Venezuela, certainly in 2010, where we are talking about materials up between 1% and 2%, and we have seen some of the food [stocks] on the Hill's side go up and down but if we want to get into a lot more details, we'll have to take that offline.
Alec Patterson - RCM: Okay. Sure we'll take it offline. Let me just then swing over to the Hill's business. I thought in your discussion about how you're doing the right pricing, there was a comment along the lines of pricing is down in a lot of key categories volume is improving, but there was something along the lines of the price gap is not where you want it. I'm sorry, could you refresh that comment?
Ian Cook: If that was the take-away, then that was either the wrong comment or I wasn't clear. The steps we took in stages, I guess the bottom-line is the progress we have been making particularly from the fourth quarter into this quarter and into the second quarter has been to get the on-shelf pricing and then through the right sizing, the pricing and value relationship correct with other premium brands. So in the fourth quarter, we did that across some of the key SKUs, but not the entire business, and the only point I was trying to make is the right pricing in the U.S. is now in place across all of the business and by the beginning of the second quarter, the right sizing will be in place as well.
Alec Patterson - RCM: The price gap versus those key competitive sets, are they where you want them to be?
Ian Cook: Yes, they are.
Alec Patterson - RCM: Okay. And then just you talked about even margins improving as soon as the first quarter, should I presume that's being said by still a beneficial raw material environment given the pricing action?
Ian Cook: I would say yes. We are looking at continued modest gross margin improvement, quarter-on-quarter. Yes.
Operator: We'll can next to Andrew Sawyer with Goldman Sachs.
Andrew Sawyer - Goldman Sachs: Yes, sure, I have just one quick one. Can you just give us some context on when you expect Sensitive Relief to get approved into the US, and then, we've seen a lot of market share progress out of Sensodyne from Glaxo. How would you guys be positioned differently than that if you do enter this market?
Ian Cook: Let me take a little bit of a step back. Obviously we have started our global expansion with Pro Sensitive. By the third quarter of this year, we will be in markets that account for about three quarters of sensitivity of the sensitivity category around the world, which you could read as a proxy for Sensodyne in terms of their business spread. Right now, the our Sensitivity Pro Relief product is under review with the FDA and I don't care to comment nor would I wish to try and predict the outcome of that, but discussions are underway and obviously when there is any news, we will make the appropriate announcement. As I had said before the Pro Relief product driven by a patented technology offers when applied topically instant relief from sensitivity and then off course with regular brushing, provides sustained relief and clinical data which we have taken to Academia and dental professionals validates that so our differentiation as we have introduced the product around the world is this combination of instant and long- lasting relief.
Andrew Sawyer - Goldman Sachs: If you look at the third and fourth quarter, you guys absorbed about $0.05 or $0.06 per hit per quarter for Venezuela on transactional stuff. But the $0.05 quarter and $0.20 for the full year for next year translationally is entirely incremental for that?
Ian Cook: It's year on year incremental, yes.
Operator: We'll go next to Doug Lane with Jefferies.
Doug Lane - Jefferies: Can you talk about, how should we think about dividends and stock buy back in 2010?
Ian Cook: I think as Bina said in her prepared remarks, we were quite pleased with our cash generation in 2009 up 42% for the year actually up 70% on the quarter, but who's looking? And I think Bina made the comment in her prepared remarks that this positions us so well to consider in conjunction with the board the appropriate approach to dividends and stock buy- backs, but surprised to say, we're well positioned to have that discussion.
Doug Lane - Jefferies: There's no other draws on our cash that are unusual in 2010.
Ian Cook: No, our historical range of capital spending had been in the 3% to 3. 5% sales range when we embarked upon our restructuring and business building program which completed in 2008. We had the residual effect this year of completing capital projects which had the spending up around 4%. Our capital spending will be down slightly back more into the historical range in 2010. So no unusual draws, no.
Doug Lane - Jefferies: Okay. And just lastly, can you give us your latest thinking Mouthwash category in the U.S.? Is that something you're looking at anymore, any less, just where do we stand there?
Ian Cook: We stand in a place where we are very focused on the international market, continuing to make progress there. Refining our offerings and go to market plans, and the U. S. remains the U. S. And we will take a view there at the appropriate time.
Operator: We'll take our last question from Linda Bolton-Weiser with Caris.
Linda Bolton-Weiser - Caris: Can I ask another question, just to further my understanding of the Venezuela situation? When you talk about doing some purchases on transactions at a particular official rate, and then some at a non-qualified parallel rates, are those dictated by market dynamics, or does the government actually decide things that apply, and does that account for why we're seeing different things reported by the different companies that we're seeing involved there? In other words, can the government advantage one company over another?
Ian Cook: Far be it for me to comment on governments anywhere in the world, but from our point of view, Linda, we see it as pretty clear- cut in at least so far as the rules have been promulgated so far. There is an official rate of 430, and that we will be using for translation, and there is an official rate for essential materials or goods which is 260, which as of this morning, it appears consistent with the rules we will get access to. And those therefore will be the rates that we will be using.
Ian Cook: Thanks everyone, welcome to 2010. Thanks for your attention, and support, and we look forward to catching up with you as our year unfolds thanks.
Operator: That concludes today's conference, thank you for your participation.